Lars Boilesen: Good morning. Welcome to Opera Software's first quarter 2013 presentation.
 Revenue came in at $62 million, up from $46.9 million same quarter last year, an increase of 32%. Adjusted EBITDA $18 million against $15.2 million same quarter last year, up 19%. Final EBIT up from $12.4 million to $14.3, equal to an increase of 15%.
 So again another quarter with record revenue, record profitability. We saw strong revenue growth from mobile consumers, from mobile publisher and advertiser and we also saw solid growth from the operator segment in the quarter.
 If you look at the highlights, very good use of numbers in the first quarter. We now have 250 million users of Opera mobile products using the product every month. And more than 80 million of the 250 million are smartphone users, particularly strong growth on Androids.
 Also we had an announcement this morning that Samsung has chosen Opera for the new Blu-ray series and Samsung is one of the few customers who is not on our list for Opera for TV; however the customer we signed last 2 years, so every encouraging to see that Samsung is also now a customer of Opera on TV.
 On the operator segments we grew the active number of users paid, Opera Mini users per month is now 67 million, 140% increase year-over-year, and also with the Skyfire transaction we now have a complete new product portfolio for the operator segment. I will look into this later.
 In the mobile publisher and advertiser segments we had good growth in the quarter, up 166% compared to the same quarter last year. And we also now are really increasing the number of impression we are serving, it’s up to 163 billion in the quarter, so 89% increase compared to same quarter last year.
 Now on the financial numbers, Erik. 
Erik Harrell: I'll start us off with a note from lawyers regarding forward-looking statement, so I will just refer you to the disclaimer. So let me just sort of jump right into the financial results. So we feel very good about the results for the quarter. Record revenues, record profits. Revenues came in at $62 million up from $46.9 million, up 32%. Adjusted EBITDA of $18 million up from $15.2 million and EBIT $14.3 million, up from $12.4 million, so we feel very good about the profits for the quarter.
 And then operating cash flow was $3 million compared to $12 million last year and just to make a comment on cash flow -- and free cash flow was $0.5 million -- just to make a comment on cash flow, if you remember in Q4 we had a record cash flow, we had around $16 million in cash flow in Q4 which is operating cash flow. That was a record and one of the reasons for it was we had an early payment that was supposed to come in, in January that came in in December which boosted up Q4 and of course that has the effect of making Q1 a little bit lower so just some additional sort of commentary on the cash flow number but overall in terms of results. We feel very good about the results for the quarter.
 How did things come out versus our guidance? The $62 million was above the midpoint of $61.5 million. Our range was $60 million to $63 million so just above the midpoint of the range. Adjusted EBITDA, the range was $16 million to $18 million , we came above the midpoint and we’re at the top end of the range. And then when it comes to EBIT the range was $11 million to $13 million, we came in at $14.3 million so we’re actually the range and of course above the midpoint.
 Foreign exchange rates did not affect the results in the quarter and I just also want to point out that the numbers that we put up here exclude onetime costs we had. We had some acquisition related cost and legal related cost in quarter that were taken out which are -- when we do the guidance we also take those types of cost out because there is sort of more onetime things, but what we’re trying to show of course is how the business is really performing from an operating standpoint.
 This is just a summary, I'm going to go through the details now. If you look at the financial highlights we like the trends that we see on revenues, you know revenues continue to grow nicely and you can see that profit which we define as adjusted EBITDA where we've taken out, excluding the stock options costs. We think that adjusted EBITDA is really the best measure for the business because it really shows sort of the pretax cash profit of the business -- how the business is performing.
 So I am now going to start spend some time on revenues and just kind of go through what the revenue drivers are of the business as we jump into the revenue section. The operators obviously driven by users. You know we have these deals with operators, we get more users, the more users we the more revenue we made from these contracts because many of these contracts are based on sort of an ARPU basis and of course if you add just Skyfire Horizon into the mix as new product that Lars just talked about, that’s also this type of model is based on whether user oriented model. Usage is about data plans. We sell data plans on top of many, the operators do and then we have this new product for web pass which will also be in the next going forward and hopefully a big contributor. And then the other thing which is driving operator business is of course this explosion of video traffic where operators have a demand for optimization of their networks. 
 Mobile consumers again driven by users and also usage. So, you have users who are engaging with our -- in Opera what we’re trying to do is be a publisher so when users engage with their publisher services like the Smart Page they’re engaging in ads, they’re doing searches and that sort of things that’s generating revenue for us. Smartphone growth is also very important in terms of this business because there is obviously this perception in the market that smartphone users are of more value to our partners. So, that’s one of the reasons of course we’re so focused on smartphone growth.
 Mobile publishers and advertisers is really driven -- historically has been very much driven by the premium market of branded advertisers and we now have a new light to the business such as the performance business which is Opera Mediaworks Performance and we’re obviously hoping, we’re expecting and hoping that that will down start to contribute very nicely in the future.
 So, we’ve added a new leg to our business with Opera Mediaworks Performance and desktop it’s about users and also usage on mostly search related.
 Before, we kind of go into the corner of the quarter, I think it’s very helpful to kind of step back and look at what we are trying to do as a company. So, we’re really trying to do is a big thing here it is assemble a huge audience and how we’ve really evolved the company over the years is that it’s not just about the Opera audience, it’s about an audience and that audience is a -- an Opera audience it’s an Android audience, it’s an iOS audience, it’s smartphone audience, it’s tablet audience.
 We’re trying to get a big massive audience out there in the marketplace. And if you look at what we’ve been able to achieve from the user standpoint and we have 250 million users, that’s our own audience and having that audiences is a real value to our partners and to us and we’re helping really our partners do is help them reach our audience. So, you can see on the search, Google and Yandex were helping reach our audience, you see the operators, we’re helping operators like Telenor reach our audience app developers reach our audience and also the advertisers reaching our audience of 250 million users.
 When you factor in, you also have something called the Opera Network and the Opera Network is basically, we have Opera as a publisher so we’re a publisher here, this 250 million where we have the Smart Page and a Discover page soon to be out. You have a Speed Dial page, you have the Opera Mobile store and then you have the Opera Network which is partners like CBS and Pandora and Wall Street Journal, Fox News. For example, and that actually is 250 million. So when we go to an advertiser, we are actually able to offer them a 500 million user audience and that's pretty amazing because what advertisers want is they want to have reach, they want breadth, they want geographic breadth, they want certain segments that they can target. So, again this is what we are able to offer an advertiser. Pretty powerful.
 We go to market with one sales team -- to the market on a global basis. We have one tech platform which is AdMarvel, which is delivering the ads, making sure the right ad gets the right person at the right time.
 And then you have Skyfire at the bottom here which is really powering the whole ecosystem. It's helping consumers have a better experience on their applications or in video or browsing which means greater usage. It's helping the operators with better networks and Skyfire is helping increased capacity of networks and better experience. And you are helping the advertisers because ultimately the Skyfire technology makes for a faster network which means that advertisers can deliver richer ad experiences, more engaging ad experiences to the user, which means there is more engagement, which means the advertisers can pay more which is good for us and it is good for the publishers, because the publishers make more money. So, the advertisers win because they can deliver better ads that have a higher return on investment. The publishers win because they make more money from content; of course we win at the same time.
 So, that's kind of the big picture if you will. So, let's jump right into the customer types. So I'm going to go through each one. I think in a nut shell, everything came in line for the quarter from our expectations. So, I'm just going to go one by one and I'll go through each one. 
 So on operators in line. The operator user growth was up 114%. That's a very strong growth to $67 million, revenues worth $12.7 million in the quarter versus $10.4 million a year ago. The user growth was driven by Airtel, VimpelCom and Vodafone and the cloud based operative data license revenue so now we are now including of course just from a terminology standpoint going forward, we are including also the Skyfire products as they are cloud based -- remember this upper cloud from ability targeting the operators that we are now including the Skyfire are those -- it’s de minimus revenue of the stage in Q1.
 But the main thing to say is that we had 30% growth in this cloud based license data revenue and this was almost exclusively driven by really good growth in with some of the operators in terms of users which drove the license data revenue up. So, we are really pleased with the quarter with the kind of the operator, Opera Mini business. So overall the revenues were up 22%.
 Moving onto mobile consumers, these are the owned and operated properties. This is Opera as a publisher the services like Smart Page and Speed Dial. Revenues were $7.5 million in the quarter versus $3 million 12 months ago. The growth was driven by search, by advertising and also driven by a strategic partnership revenue with one of our key source partners as well.
 249 million users at the end of the quarter in March, that means we added 55 million users in the last 12 months. Ad requests at 16.9 billion from our owned and operated properties this is up 409% and application downloads on our Opera Mobile Store, were at 157 million in the quarter, up 61%. So the reason we started to show you the ad requests and the 16.9 billion is really to demonstrate what kind of traffic we can generate from our user base. So this is right now we are not, we are just in the early stages of monetizing this traffic building up the sales team. But I just -- 16.9 billion pages of potential ad requests is a lot and so it is more to demonstrate the potential we have in this business over time to grow advertising revenue.
 I also want to say in terms of the OMS we totaled 157 million downloads that shows also the value proposition we have for app developers as well again the value that we can bring from our own traffic. Revenue up 152%. Mobile publishers and advertisers is the Opera network, this is our network of publishers. This was driven by premium advertisers as you can see companies like big brands: American Express, Audi and Lufthansa, and McDonalds, Home Depot, Starbucks, Walmart. Performance advertisers such as Big Fish Games we also did some very good performance campaigns for some financial institutions in terms of bringing new leads and new customers for them on a more of a cost per action CPA kind of basis. The total impressions that were managed by our platform. 163 billion again demonstrates the size, demonstrates the audience that we have, that we can bring to our advertisers.
 And what we have in our network, in the publisher network of course these brand publishers, the Fox News and the CBS'. These are brand safe publishers that attracts the premium advertisers because they want to advertise on the premium brands. The premium brands want to work with us because they know we have got the connections with the premium advertisers and you get this virtuous circle. So just to talk a little bit about the value that we bring and of course when you have these many ad impressions I mentioned earlier, you have a wide audience, a diverse audience you can bring to an advertiser.
 In terms of desktop the revenues were $17.5 million of the quarter versus $16.7 million 12 months ago. Strong ARPUs due to local affiliate revenue from affiliate partners like Booking.com for example, Amazon and search revenue and also strategic partnership revenue. This is working -- this is an agreement with one of our key search partners that also contributed to the quarter. Desktop users that were at 55 million, it's down 8% and the overall revenue growth was 4% in the quarter.
 Device OEMs was $5.4 million in the quarter this is down from $7.8 million, this is the, revenue in the quarter was driven by the connected TV business that's what really driving the revenues in this business and revenues were down 31%. Again this is all in line with our expectations for the quarter. So that's revenues, let's move on to expenses.
 So expenses compared to 12 months ago we had higher payroll expenses, we’ve obviously been investing, adding headcount in the advertising business in particular, that's driven the payroll cost up. Cost of goods sold is directly tied to the revenue that we're bringing in, we had 166% growth in revenue in the Opera publisher -- mobile publisher and advertising business that obviously is, when we bring a dollar of revenue and we share it with the publisher so it’s directly connected. Hosting costs were at $3.9 million. Depreciation and amortization's up 43% this is primarily from the investments that we continue to make in our cloud based infrastructure, Opera, the Opera cloud for mobility infrastructure. Stock option costs were up a little bit and that's pretty much a summary of costs overall of 38%.
 On cash flow, just a couple of notes to make here on cash flow. Operating cash flow we've already talked about in terms of the timing of one of these payments. One thing on acquisitions you can see that it's around $75 million from acquisitions. The vast majority of that is Skyfire we've also had some earn out payments of course related to prior acquisitions that we've made. We also made a small acquisition, a minor acquisition, a material acquisition in the quarter. We bought some assets and brought in a team that's behind the Opera Mediaworks Performance business. We've of course announced that Opera Mediaworks Performance business as part of the capital markets day presentation and then of course the net proceeds from the loans -- that's a loan we took on in the quarter from DnB.
 Moving on then to guidance. So we expect our guidance for the quarter. We expect revenues to be $70 million to $74 million. We expect adjusted EBITDA $17 million to $20 million. And then we on the EBIT side for Q2, we expect around $5.5 million from depreciation, amortization, stock option costs. And that’s how we come to EBIT of $11.5 million to $14.5 million; it's based on the exchange rates that are there. So that’s our Q2 guidance.
 Let me go through some of the details and what I am going to be referring to is comparing things to Q1, 2013. So it’s showing that the differences between Q1 and what we expect for Q2. So on the operator side we expect solid cloud based license/data revenue from the business, so flat to up in the quarter. Mobile consumers, we expect to be up from users and also solid ARPU.
 Mobile publishers and advertisers; seasonally strong, continuing to outgrow the market. We are growing fast in the market. We are taking market share. We expect a very good quarter in the mobile publisher and advertiser business.
 Desktop, we expect to be flat, stable user trend, solid ARPU. And device OEM business, we expect to be down versus Q1, lower development revenue and license revenue.
 When it comes to payroll costs, we expect payroll costs obviously to go up and just to point out, and this is just important to note that we only took -- we only had 2 weeks of Skyfire costs in Q1. We are now going to have a full quarter cost in Q2 and of course that’s going to increase payroll costs, but also increase all the other cost lines. We'll have a full Skyfire cost. There won’t be -- the revenue contribution won’t be meaningful from Skyfire recent Q2. But obviously we will have the full cost effect.
 On cost of goods sold, we expect that to be up because it’s tied to the revenues for the quarter. Stock option cost to be flat. Depreciation we expect to be up and a big reason for depreciation cost being up in the quarter is really from the acquisition of Skyfire because we are going to have a full quarter of -- when we do an acquisition we have to write up certain assets and have to depreciate them. So we are going to have a full quarter of that depreciation. And then other OpEx is expected to be up due  to server hosting, travel and marketing costs.
 So then moving onto 2013 guidance, so we’ve made no changes our guidance for the year compared to the guidance that we gave in February. We’ve talked about on Q2 which we see Q3 being sort of stable versus Q2 we see a really nice uplift in performance in the business and results in Q4, so that’s basically how we see the year. That’s sort of ,as I said ,no changes to the guidance and then when we look -- as we hand it off to Lars sort of end the presentation with sort of some of the big picture that we see in the business which is I think the big picture is what we’re trying to do is to build a very large mobile audience.
 We know that if we build a very large audience, we have 500 million users today that we will be very attractive, continue to be very attractive increasingly attractive to advertisers and to our partners who want to reach that audience. We see the operators as a really critical element in the whole mobile ecosystem, so we think he has a very compelling buy proposition for them and of course we want to grab an unfair share smartphones that’s not just only our user base but it’s also getting as many smartphone users and tablet users which will also power our operator business and also power our advertising business.
 So with that I’d like to hand it over to Lars. 
Lars Boilesen: Okay let’s look into the operational update. Going forward we’re lining our business into free business units consumer browsers mobile publisher and advertiser and mobile operator and this is really all about focus and possession [ph] within the company how to align the organization. Obviously these business units are really linked together. As one example -- for example on the consumer browsers now we had now in the last 2 years spent a lot of time onto integrate adds into Opera in a user friendly way. Of course the technology we're using for that is ad mobile platform and the sales force for selling the ad is also coming from the mobile publish and advertising business units.
 Another example is that the mobile operators, they make it part of the business in 2013 is of course coming from Opera Mini products in the consumer browser unit, so this is all about how to prioritize, how to align the organization to increase focus but of course they’re very tight together and they share resources in both.
 But let’s look in to the first business unit which is consumer browsing. We are releasing a lot of products this year, basically the technology switch we did at the end of the last year where we move from Presto to WebKit, allow us to put a lot of our engineers on new products, focusing on new features instead of making sure that the code is up to date when it comes to standards. So, we have record number of people, engineers and mobile, desktop and tablets and this would be shown in new products this year. We will come out with new products for iOS and Android, come out with complete new desktop product this year and we will also come out with tablet products for Android and also iPads.
 So, lots of focus on innovation these days. If we look at the user numbers in the last quarter, it’s really good. We now have 250 million users using Opera on a mobile device every month and if you look at the last 3 months you see that the growth has been really significant. So, very good start of the year.
 If you look at our position in the smartphone markets, we now have more than 50 million users using Opera for Android every month. This is a very strong number and this is really indicating that in Opera markets when users are moving from a feature phone to smartphone they are downloading Opera as one of the first things. So, we are successfully migrating users from feature phones to smartphones. And now with the new products we have out Opera for Android with this invasive [ph] release now, we really think we can boost that trend we’ve seen in the last 6 months and hopefully also this product can help us to move into markets where we’re not so strong today.
 But we really believe in the products, it’s a brand new UI. So, we’ve got really good feedback on how we’re organizing our book smarts there, really nice looking field, we have complete new feature, resources receive really good feedback, it’s called the Discover feature but we recommend content for the users based on country interest et cetera and that is the feature that will just get better and better in the coming releases.
 And finally we also integrated Opera Mini mode into the full native Android products and we call it Opera mode but it’s basically that you can turn on compression and you are using the same modes as you do on Mini. So, Mini and mobile combined now.
 We have received really good reviews in leading tech media. Here is some examples from Engadget and GigaOM and we also this time has really worked really close with our users. We got a lot of feedbacks from Google Play and this is really combination, we got really good feedback from them and we also got a lot of feedback we have used in the last 2 months when we have been in beta. So this will also help us to secure that. Our users like the new products. And the product will go live in May, that's the target. So, we hope to be out with a final version in May month.
 Opera for Desktop. So the big news is of course that we are coming out with a new version this year. We hope this new version will be out over summer. It will have a complete new native UI. It will come out with new best features which we haven't seen; the market hasn't seen yet. We really hope this features will be attractive for our users, lots of focus on new features.
 And of course we are also keeping all the popular Opera functionality, existing functionality in the browser. And then we have new version from Tuovo [ph], they have of course the latest high-ends kind of support so we're really excited about this and if you look at how many people we have in our new desktop product, it really shows that we really believe in desktop as acompany and we really believe that we can get out of the deadlock and get into real growth again. I think we are close to 100 engineers on desktop these days and had been for like 6/8 months now and this is more than double than it ever was in the history of the company. So, lots of focus on getting a really competitive desktop product out. And when we look at the revenue, it stays very strong. So, it shows the potential on desktop still. We were up 4% but it's still a significant number. I think close to $17.4 million so we are excited about coming out with a new product over summer.
 If you look at Opera for tablets, this is also something that's becoming really important for us. Bigger screens, it's in same category as desktop and we now have significant number of engineers working on new versions of tablets.
 I think, later Q3, will come out with a new version; new version for iPad and we will also come out with a version for Androids for tablets and we have shown you earlier, the product called Opera Ice and this is a product also which has come out that we have more reasons now focusing on invasion [ph] and we have a significant team on that product as well. Too early to say when that product will come out but we hope this year. So, lots of progress on up tablets as well. 
 And Opera for TV. So very nice an announcement this morning, we had in last 2 years more less signed up all the major TV manufacturers in the industry except the Korean ones. So now we also have Samsung as a customer so that is encouraging and we will be deployed on the new series for our Blue-ray players, it’s called Blue-ray players Series 5. They realized now is the key and this will also be a global launch very quickly so hope to be out in the store quite soon.
 In general we can say on TV this is also, we actually have made a business unit in Opera where we have put all the commercial, all the engineering people in one team so that is also really creating innovation and focus in the team. And we see, we are positive about the outlook we have in the quarter 6 new OEMs preparing for shipping new devices, Opera new devices, and we are also experimenting with ads in our TV store. And our TV store is getting more and more solid. We now have 160 TV applications published in the store and it is live with one of the major TV manufacturers out there.
 So just to sum up on browsing, on the consumer browsing. We are really, really bullish about our products coming out. We will come out with launches we have never seen in the company before. New products for desktop, new products for Android, new products for iOS, new products for iPad, new products for android for tablets and then finally we will also come out with a complete new concept for tablets called Opera Ice. All this will happen this year.
 Opera for operators. I think one of the major launched we have for our operator customers is Opera Web Pass, and a web pass is in a very simplified way of explaining that is we allow operators to launch data plans in the Opera browser without impacting the network so the operators does not have to freeze the network or wait for the next freeze, it can launch next day. The only the operator has to do is just to integrate billing support and then the operators can launch data plans in the Opera browser outside the network so if there is a new event tomorrow and the operator wants to launch the data plan in connection with that event happening tomorrow it can be done immediately through the Opera browser, no impact on the network. So this is very attractive particularly for operators in Opera markets where people are more on prepaid plans. We launched this 3, 4 months ago and we already have some interesting losses so Airtel the biggest operator in India is about to launch this soon. We also have announced with Vimpelcom and they have already launched this with Beeline in Russia and in addition Telenor has launched this in Malaysia so we see a lot of interest around the product.
 With the acquisition -- with completion of the acquisition of Skyfire, we're also getting new products. So Skyfire has mainly 2 main products. One is what's called the Horizon Toolbar, which basically is a toolbar product for N80 [ph] browsers, and then finally the more flexi product they have is Rapid Optimizer which is a video cloud optimization solution more for network partners, so this is something we sell to operators who wants to deal with the massive data on video they see in the network and we kind of optimize that or compress that data, cloud based, exactly like we do with also with the technology on Opera Mini.
 So the big sales team we have in Opera and the big customer base we have, the sales team is out getting trained and they're out selling these products already now and building the pipeline so things are going well.
 Another product we are launching and this is more or less synergy products Opera plus Skyfire together, this is a product we expect to launch in Q3, is it really the first new product coming out of the acquisition of Skyfire, where we're combining Opera technology is called OperaBoost. And this product is the same philosophy as Opera Web Pass. So Opera Web Pass we're launching helping operators to launch data plans in the opera browser, with Boost we have a smartphone offering. We can allow the operator to launch data plans not only in Opera but also in third party browsers and in apps.
 So basically launch data plans, tactically, very quickly without any impact on the network, through any application where the users access the internet, so Opera browsers, third party browsers and apps and video. This will also be provided, this offering will also be provided with a nice consumer offering in an app where we will come out with a product which will give user the ability to follow the data plans in terms of cost control, in terms of data management, in terms of compression, analytics and statistics et cetera. So this is something we're very excited and the Skyfire and the Opera engineering departments are working really close together on this new product which we hope to have ready for Android and iOS already in Q3 this year.
 So if we are looking at the complete operator portfolio after the acquisition of Skyfire we now have a really full, comprehensive portfolio. So for feature phones we still have Opera Mini co-running [ph] which is a major significant robust business for Opera. Opera Web Pass works with Opera feature phones, and then for smartphones we now have the toolbar from Skyfire, we have the new products called Opera Boost which is very much Web Pass for smartphones, and then we finally have Rocket Optimizer which is dedicated network products for carriers who wants to deal with the massive traffic they get from video, where rapid optimizer is a video based cloud compression optimization solutions. So we're very excited about it. We had just had our annual sales meeting and I can tell you the sales force in Opera who's been super successful in signing up more than 140 operators over the last 2 years, they're super excited about now having a complete new product portfolio that can go out and offer to our 140 plus operator customers.
 If you look at the highlights on operators in the quarter we now have almost 67 million paid Opera Mini operator users per month, this is in growth of 114% year-on-year and we see a good pipeline building up with a new products and also existing products. 
 Okay the final business units, Opera Mediaworks and just to really shortly explain what that is. So we have through the app AdMarvel technology platform, a very strong management platform for Publisher. This is used for mobile and tablets and TVs to serve ads and then we have on the advertising side we have our own ad network through Mobile Fairy and Four Screen, Mobile Fairy in North America, Four Screen in Europe. And we as Eric mentioned, we have already a lot of the major brands in our customer portfolio. And then also later in the presentation I'll talk a little  bit about that we are adding our own products as a property where we'll serve ads as well, so basically we'll have our own add inventory in the Opera products.
 But let's, if you look at the more publisher side you can see that we have all the major publisher almost all the major publisher in our customer portfolio today using the AdMarvel publisher platform, in fact 20 out of the 25 biggest publishers in the world are using the AdMarvel platform for their mobile advertising. And if you look at the figures on the publisher platform, this last year we had 12,000 mobile sites and applications using the platform. We had 300 million monthly unique customers. We were serving around approx. in average 50 billion impression on a monthly basis and we had 400 million of revenue going through the platform. This year we expect to have more than 20,000 mobile sites and applications, more than 400 million unique customers and serving more in average than 65 billion impression on a monthly basis and increase of the revenue going through the platform with more than 50% to more than 600 million in total. So, we are looking to a nice outlook here, for our publisher business.
 If you look at our advertising business, we started kind of from scratch where we bought a small team from Mobile Fairy which was like less than 10 people now we are on a month's basis, increasing that team and its already more than 60 people.
 We already have 7 of the 100 global agencies in our customer portfolio. So, really, really nice growth and so putting the AdMarvel publisher business with our own networks, we have really, really solid presence.
 And here is a video from one of the ads that we are running with Four Screen in London.
 [Presentation]
 So, this was just to give you a little bit insight on what kind of ads we are focusing on. Most of the ads here are I think believe is from Four Screen in UK and as you can see this is really rich media advertisement. So, what's really new is that this year we are focusing a lot on building our own inventory. As I showed you on the smartphone products we have coming out, we had this discovery side, we have Smart Page and Opera Mini where we find a way to put ads in a very natural and very nice looking field user friendly way.
 This slide shows a little bit of our history here. We have been on the road to get to this stage where we finally are now. We started a few years ago to start working with partners on exposing that content on Speed Dials in Opera Mini and we start making money on that. When we got our own Opera Mobile store, we launched a concept called Pay Per Download where we gave active developers an opportunity to publish their, to feature that content. That was also quite successful. That lead us to start putting more banner ads into Opera Mini and now finally with the discovery side, we have integrated the AdMarvel SDK which will allow us to run ads like we just saw in the Opera browser in a very user friendly way.
 And we have also, hired a strong person who is leading the Opera ad network so we already are putting people on the ground in the major Opera markets like Russia, South Africa, Brazil where we have sales people selling ads to the Opera properties and this is definitely already in these mentioned markets, already meaningful revenues and we really believe we can live up to be a significant business.
 So, we not only do third party mobile advertising like we doing in today in America and UK, this can be very profitable business because we own everything here, we own the technology behind at the AdMarvel, we own the sales force, we know everything about users and we receive really high CPMs when we are building up our own inventory. So, we are excited about that and we excited about this is such an integrated part of the products coming out this year, very user friendly.
 So, that finishes my presentation. I think we can open up for some questions.Alright, no questions then thank you very much.